Operator: Greetings, and welcome to the Oshkosh Corporation First Quarter Fiscal 2011 Results Conference. [Operator Instructions] It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you Mr. Davidson, you may begin.
Patrick Davidson: Thanks, Claudia. Good morning, and thanks for joining us today. Earlier today, we published our first quarter results for fiscal 2011. A copy of the release is available on our website at www.oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months, and please refer now to Slide 2 of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. Presenting today for Oshkosh Corporation will be Charlie Szews, President and Chief Executive Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Let's begin by turning to Slide 3, and I'll turn it over to you, Charlie.
Charles Szews: Thank you, Pat. Good morning, and thank you, all, for joining us today. We're continuing the approach we began with our previous quarterly conference call to reduce some of the repetitiveness that creeps into the call. Instead of methodically running through each of our segments, we will discuss overall company results and outlook, with particular focus on actions we are taking to drive the business during this transition year. This should shorten our prepared remarks and leave more time for questions. With that, let's get started. For the quarter, our sales decreased 30% to $1.7 billion, leading to lower operating income of $169 million and earnings per share or EPS of $1.09. This quarter, we began our transition from high-volume production of M-ATVs to the gradual launch production of the U.S. Army's Family of Medium Tactical Vehicles and what we expect to be near breakeven margins for fiscal 2011. These margins are significantly lower than the margins we achieved on the M-ATV program. This transition will challenge our quarterly earning comparisons in fiscal 2011, but we do expect to be solidly profitable each quarter this year. Beyond fiscal 2011, we have good visibility in our Defense segment with several programs of record and ample opportunities to drive our Defense business forward by reducing our FMTV costs and pursuing domestic and global programs. We believe JLG is beginning to turn the corner and that it should provide a lift for our company. We also have initiatives to reduce the cost structures in several of our businesses that are now not recovering as quickly as JLG. And our continued focus of debt reduction provides us with options and flexibility to pursue growth initiatives. We'll be working throughout fiscal 2011 to position Oshkosh Corporation to be able to return to growth in fiscal 2012. I'll talk more about this in the upcoming slides. Let's dive a little deeper into the operating highlights for the quarter and turn with me to Slide 4. During the quarter, we completed delivery of the final 322 M-ATVs from the original orders for 8,079 units compared to about 2,300 units delivered during the prior year first quarter. We continue to deliver a high volume of M-ATVs spare kits in the quarter, which drove up our Defense margins despite the drop in M-ATV vehicle volume. There's a great team effort across our entire company to deliver these vehicles at unprecedented speed to our troops in Afghanistan. But then it is easy to rally our people around such an important mission. We continue to hear from the field that the M-ATV has proven its worth in theater for both for its ability to protect our men and women and also for its ability to traverse the most difficult terrain. This leads us to believe that it will be part of the continuing force structure and that Oshkosh will generate M-ATV-related revenues for years to come, whether it be for new vehicles, spares or upgrades. The Defense team continues to extend the M-ATV family of vehicles with the award of a contract modification for 250 ambulances, and a follow-on award of 46 Special Forces Vehicles. We're working on additional variants that meet other mission requirements, and we're continuing to design platform upgrades like the order for 800 M-ATV bolt-on protection kits. The team also conducted M-ATV trials in another Middle Eastern country just this month. International sales opportunities take more time to develop, but we do believe we have a game-changing vehicle that is drawing considerable foreign interest, most likely for 2012 production or later. Our attractive pricing on the FMTV program caught the attention of the U.S. Department of Defense, which led to additional orders totaling $1.2 billion in the first fiscal quarter for FMTVs. To date, we've received orders for approximately 18,000 FMTV trucks and trailers. Many of these units will be delivered in fiscal 2012 and 2013 providing us with excellent visibility for this program. As you may recall, the request for proposal called for up to 23,000 trucks and trailers. We now believe the U.S. Army will ultimately order many more FMTVs than the original 23,000 in the RFP. Our team has been working hard to launch the FMTV for the U.S. Army over the last 11 months, since we were given the green light to officially begin work on the FMTV contract. We began to ramp up production in the first quarter and we'll continue to ramp up daily production through the remainder of fiscal 2011 to about double the daily rate we originally anticipated from this RFP. This will cause us to spend $20 million to $25 million more in capital than we originally expected to reach these production levels as we tool up and rearrange our manufacturing facilities to accommodate the significantly higher-than-expected production rates over the next couple of years. We also expect to hire 650 to 750 employees beginning in the next few weeks to support the higher production levels. We've experienced some start-up issues on the program, typical of what would be expected for a program of this magnitude and complexity, but we are confident in our ability to successfully ramp up production and build trucks profitably once we reach full-rate production. In our press release, we noted very strong order flow for our Access Equipment segment during the quarter. In fact, orders at JLG from external customers more than doubled over the prior-year quarter. Replacement demand in North America, along with economic growth and product adoption demand in emerging markets, drove the increase in orders. This performance is encouraging, but we probably still need another few quarters to better assess the strength of the recovery. Access Equipment demand in Europe is not recovering as quickly as in North America. Accordingly, we have commenced discussions with our employees or their representatives in several European countries regarding plans for reductions in our administrative and manufacturing footprint across Europe. Despite encouraging orders in Access Equipment, we still face challenging market conditions in our Fire & Emergency and Commercial markets. We're disappointed in our first quarter performance in these two segments. Weak municipal tax receipts and a higher mix of body-only deliveries led to lower sales of fire apparatus and concrete mixers in the quarter, respectively. Municipal spending levels also had some effect on our refuse collection vehicle, or RCV sales, but not as much as we have seen in the fire market. In addition, some commercial waste haulers delayed sizable orders that we had expected to receive in the quarter. We purposely delayed certain staffing reductions in these segments in the hope that the economic recovery would be a little stronger. We recently announced actions that will help better align our cost structure in each of these segments, and I'll talk more about these in an upcoming slide. Please turn with me to Slide 5. The President's fiscal 2011 budget still has not been signed and the U.S. government is operating under continuing resolution through March 4. The impact of this on defense spending is that in general, federal departments are operating at fiscal 2010 budget levels and no new programs can be launched until a budget is finalized. For Oshkosh, we have a significant backlog in Defense for the remainder of fiscal 2011, but it is possible that the delay in the approval of the President's fiscal 2011 budget could move some of our planned Army and Marine Corps heavy tactical vehicle sales into fiscal 2012. The continuing resolution may also impact some programs that we had expected to come out for bid in fiscal 2011, including programs to upgrade Humvees. In the meantime, we're still working hard everyday to support our men and women in the Armed Forces and to serve our the DoD customer. We're also pursuing various initiatives that we believe will position us well when programs relevant to Oshkosh are put out for bid. We're still a few weeks away from the release of the fiscal 2012 federal budget. As a result, we aren't able to comment on the Defense budget request specifically. But we do know that Secretary Gates has already discussed certain aspects of his plan to take further costs out of the DoD. As you might guess from my earlier comments and from the backlog at the Access Equipment segment, we continue to be encouraged by signs in the Access Equipment markets. Utilization rates in the U.S. continued to increase during the quarter as did used equipment values. Hourly rental rates have also begun to recover, another positive sign. We continue to believe fiscal 2011 demand for Access Equipment in the United States will largely be driven by replacement of aging fleets instead of economic growth-driven demand. Demand for Access Equipment in emerging markets remains strong and we expect this trend to continue for the foreseeable future. In Europe, we're beginning to hear some level of optimism from our customers. However, it's going to be a while before we see significant contribution to this segment's growth from this region. While we have seen some signs of stabilization in North American fire truck market over the last several quarters, this market remained depressed at the rate down 25% to 30% from historical levels. We believe that it will be sometime in 2012 or 2013 before we start to see significant improvement in this market. In the meantime, international orders have helped to offset some of the weakness we have seen in our domestic market and we continue to innovate seeking to capture more of the available demand. Concrete mixer volumes for the domestic market are down approximately 90% from peak and are also not yet showing any significant signs of recovery. We also noticed the trend in the quarter of more refuse haulers evaluating and deciding to shift purchases to compressed natural gas or CNG-powered RCV units. We believe that this trend contributes significantly to a delay in order and sales of RCVs in the quarter because our customers cannot secure the right chassis to support their shift to CNG. We believe the demand is still there, just pushed out later in the calendar year. We've already seen a nice rebound in RCV orders in January, which we believe supports our view. As a leader in CNG technology for the RCV market, we're in a strong position to support our customers' shift to more green technology fleet. Let's turn to Slide 6. We continue to work this quarter on optimizing our manufacturing footprint around the world to right-size our businesses for gradual economic recovery. We are nearing completion of the integration of our Jerr-Dan Towing and Recovery business in the JLG operations and our Mobile Medical business into our Pierce and Frontline operations in Florida. We've had some challenges with our Jerr-Dan move, but we are catching up to schedule and expect to be in high gear soon. On a bright note, our parts fulfillment through JLG aftermarket systems is now greatly improved from what Jerr-Dan ever accomplished on its own. Earlier this month, we announced that we'll be moving manufacturing of our Medtec Ambulances to our Pierce facility in Bradenton, Florida. I earlier mentioned our intention to consolidate facilities JLG manufacturing Europe. Each of these moves is part of our ongoing plan to become more efficient and more effectively utilize our manufacturing space. We've also implemented additional work force and other cost reduction measures in our Non-Defense segments. These actions are intended to further align our businesses for the gradual recovery that we expect in some of our markets. We expect the annualized savings from the facility consolidations and other actions we have initiated over the last two quarters, when fully implemented, to approximate $37 million. Dave will provide more detail on the expected savings and related charges in a few minutes. We continued to implement the Oshkosh operating system in the quarter, with all segments completing GAAP analyses between current and desired future state and developing action plans to close the gaps in our processes. We believe that this initiative will greatly enhance our operational efficiency throughout the company as we implement the Oshkosh operating system over the next two to three years. Through this system, we are becoming more metrics-driven and will be able to more effectively serve our many different customers. While some of our end markets are improving and some still remain weak, we haven't slowed down our activities on new product introductions. Over the next several quarters, you can expect a number of new product launches that we believe will help ensure that we maintain our market leadership position. In particular, I invite you to visit our booth at both CONEXPO and the Fire Department Structures Conference in March where we will launch new products for concrete mixer, Access Equipment and Fire & Emergency customers. Finally in November 2010, we successfully completed the internationally acclaimed rough and rugged Baja 1000 race in Mexico with our light combat vehicle. Few dare to enter the race and fewer yet finish the race. Our Oshkosh Light Combat Vehicle was the largest and heaviest vehicle to ever complete the race. It's a hybrid electric-powered unit with our next-generation TAK-4 suspension system. We received tremendous insight into our vehicle's performance and reliability and are proud of how our vehicles performed on this very strenuous race course. We have no doubt that our experience in one of the world's most extreme off-road races will lead to new and enhanced technologies and capabilities, enabling Oshkosh vehicle to be the obvious choice for extreme applications. Please turn to Slide 7, and Dave will take us through a brief discussion of our financial performance and our expectations for the remainder of the fiscal 2011.
David Sagehorn: Thanks, Charlie. Consolidated net sales for the first fiscal quarter were $1.7 billion, a 30% decrease compared to the same quarter of last year. As Charlie mentioned, the largest driver of our lower revenues in the quarter was the lower M-ATV-related sales. We had $519 million in M-ATV-related sales in the quarter compared with $1.1 billion in last year's first fiscal quarter. Sales to external customers in our Access Equipment segment were up 30.4% compared to the prior-year quarter. Just as important, orders in this segment more than doubled and backlog more than tripled compared to the prior-year quarter. Sales in our other two segments were down compared to the last year reflecting still challenging market conditions, as Charlie mentioned. Operating income for the quarter was $168.7 million or 9.9% of sales compared to $325.7 million or 13.4% of sales in the prior-year quarter. The largest driver in the year-over-year change in operating income is the lower M-ATV sales. And sequentially, for our Non-Defense segments, the first fiscal quarter is historically a difficult seasonal quarter. as few customers seek delivery just before winter and also due to the large number of holidays in the quarter. Included in the current-year quarter operating income are charges of $11.3 million in the Access Equipment segment and $0.7 million in the Fire & Emergency segment related to the facility rationalization and other cost reduction actions, that Charlie talked about. We expect to record additional charges of $7 million to $12 million related to these contemplated actions in our upcoming quarters. Earnings per share for the quarter was $1.09 compared to $1.90 from continuing operations in the first quarter of fiscal 2010. Earnings per share for the current-year quarter included $0.13 per share impact from charges related to the previously mentioned facility rationalization and other cost-reduction initiatives. Earnings per share in the first quarter of fiscal 2010 included a $0.20 per share impact of non-cash impairment charges. Our tax rate in the quarter was 30.8%, including $9 million of benefits related to discrete items described in our press release. We also reduced our debt by $115 million in the quarter. We're pleased to have generated positive cash flow in a quarter that is more often a consumer of cash. Please turn to Slide 8 for a discussion of our fiscal 2011 outlook. Refining our previous sales outlook for Defense, we now believe our full year Defense segment sales will be between $4.4 billion and $4.5 billion. Our ability to achieve this sales range is dependent on how and when Congress resolves the fiscal 2011 federal budget issue. This estimate range assumes that certain funding in the President's fiscal 2011 budget is put in contract in sufficient time for us to order parts, build the vehicles and ship them by fiscal year end. We began to ramp up sales of FMTV production units in the first quarter at low volumes and expect FMTV sales volumes to increase significantly as we progress through the year. Defense operating income margins in the first quarter benefited from a favorable sales mix with M-ATV-related sales comprising nearly half of the segment's sales in the quarter,along with low FMTV volumes. Looking at the remaining quarters of fiscal 2011, we expect M-ATV-related sales to settle into a region considerably lower than in the first quarter, and we expect significantly higher FMTV sales than in the first quarter. We believe this will result in operating income margins in upcoming quarters that will be significantly lower than in the first quarter. We continue to believe that full year operating income margins in this segment will be low double digits. Strong Access Equipment segment orders in the first fiscal quarter reinforce our expectations for solid year-over-year sales gains to external customers in this segment in fiscal 2011. We still believe that most of the growth will come from replacement demand in North America and from emerging markets. We continue to believe that operating income margins in this segment will be in the low-single digits, including the $11.3 million of restructuring charges reported in our first quarter and additional charges we expect to report. Expect that we will recognize additional costs that could total $2 million to $7 million in the upcoming quarters related to these plans. Benefits from the cost-reduction actions initiated in this segment over the last two quarters are estimated to total approximately $18 million on an annualized basis, with approximately $8 million realized in fiscal 2011. In the current environment of weak municipal spending with the fire market that is down to 25% to 30% from historical levels, fire departments are taking longer to finalize equipment purchase decisions. Pierce also has a sizable order from the U.S. government that was protested and which the customer is currently reviewing. The delay in being able to move forward on this order, along with the increased time it's taking fire departments to complete orders, lead us to now believe that we'll see slightly lower sales in the Fire & Emergency segment in fiscal 2011. We expected sales in the second half of the year will be stronger than in the first half, as Pierce delivers units under the recently awarded contract from Ghana for over 100 units. Fire & Emergency operating income margins in the first quarter were significantly lower than what we are accustomed to in this segment. We do expect margins to improve in the upcoming quarters, but believe they will be lower than fiscal 2010 on a full-year basis as a shift to units with lower content, increased new product development spending and a more challenging pricing environment, especially internationally, offset the partial year benefit of our cost reduction actions. We expect the benefits of the facility rationalization and other cost-reduction actions that we announced in this segment over the last two quarters to total approximately $12 million on an annualized basis, with approximately $2 million realized in the current fiscal year. Similar to the Access Equipment segment, we expect to incur approximately $5 million of additional costs in the upcoming quarters related to these actions. Our outlook for the Concrete Mixer business in fiscal 2011 remains unchanged. We expect mixer sales in the U.S. to remain at extremely depressed levels resulting in fleets that continue to age and that will eventually need to be replaced. We expect that we will see continued growth in sales of Concrete Mixers to international markets. Turning to Refuse Collection Vehicles. We are experiencing lumpiness in orders, especially from the large fleet customers. Our orders in the first quarter were weaker than we expected, but orders so far in January have been very strong. This leads us to believe that we'll have sequentially higher sales in the second quarter in this segment. We believe that some of our anticipated compressed natural gas powered RCV orders could be delayed within calendar 2011. As a result, we now believe that sales in the Commercial segment will be approximately flat compared to fiscal 2010, which is down from our previous view of up modestly. We continue to expect that operating income margins in the Commercial segment will decrease slightly from fiscal 2010. Recently enacted cost reductions will help offset the impact of lower volumes compared to our previous outlook. We expect these cost reductions to generate annualized savings of approximately $7 million, with $5 million, being realized in fiscal 2011. I'll close my comments with a few additional items. We continue to expect our corporate expenses to be higher than last year due to investments in people, infrastructure and information systems. We expect to deliver further debt reduction in fiscal 2011, but at a reduced pace compared to the first quarter. We now believe that our capital expenditures will be approximately $125 million to $135 million as we spend more to ramp up FMTV production. And we now estimate our tax rate will be approximately 36%, down from previous estimates due to the reinstatement of the R&D tax credit and certain other discrete items booked in the first quarter that will impact the full year tax rate. I'll turn it back over to Charlie. Please turn to Slide 9.
Charles Szews: Thank you, Dave. As you can probably tell from our comments today, we have a lot going on to drive our company forward. Fiscal 2011 will be a year of transition as we ramp up to high-volume FMTV production and step up investments in people, facilities, new products and new markets to position the company to return to growth in fiscal 2012. We also expect to negotiate a new union contract at our Oshkosh facilities later this year. Our key focus areas that will position Oshkosh Corporation for return to growth are on this graphic. We'll be discussing our activities in progress on each of these key items with you on an ongoing basis throughout the year. Today, we've talked much about our actions to optimize our operations and this will continue to be major area of focus for us. To support our improved operations, we've also been making investments in our people and our support systems. This is a multi-pronged approach that allows us to develop the right talent and leadership for Oshkosh, which is essential to our success. We have programs in place to train and invest in our employees from on-boarding to career enrichment to advancement. We're accomplishing this with the Oshkosh Leadership Academy. The Oshkosh Leadership Academy emphasizes leadership development with a combination of formal education, experience and reflection. It is essential to our success. Also key to our success is a multi-year project to upgrade our information systems to better support our ever-changing company. At this time, I'll turn it back over to Pat and the operator to begin the Q&A.
Patrick Davidson: Thanks, Charlie. I'd like to remind everyone to limit your questions to one plus a follow-up. After the follow-up, if we have the time, we ask that you get back in queue and you ask an additional question. Claudia, please begin the Q&A portion of this call.
Operator: [Operator Instructions] Our first question is coming from the line of Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc.: Can you talk about how pricing levels in your Access Equipment backlog compare to your production over the past couple of quarters? Are you benefiting from the sharply higher trade-in values on used equipment that you highlighted in your prepared remarks?
Charles Szews: Our pricing is solid in the backlog. I wouldn't say that it's higher than it has been, pricing in the marketplace is -- I say this, we have one competitor certainly, that has been aggressive in their pricing strategy over the last couple of months, perhaps trying to build their backlog. We sustained our pricing strategies of really the last several years and I'd say we have a good profitable backlog.
Jerry Revich - Goldman Sachs Group Inc.: And Charlie, just to make sure I understand that comment right, if you're maintaining strong pricing but the value you're getting on customer trade-ins is better, that'll show up as net pricing for you because of lower customer concessions, right?
Charles Szews: Well, if customer trade-ins haven't really been very significant in recent months. Maybe a year or so ago, year and a half ago, it was pretty significant. We're not seeing that much trade-in activity today and you are right, we are seeing better values on trade-ins than we did a year ago or two years ago.
Jerry Revich - Goldman Sachs Group Inc.: And Charlie, have you locked in your material costs in your longer lead time Fire & Emergency products? And can you talk about what you whether you are seeing industry pricing discipline on bids moving higher, given the recent surge in input costs?
Charles Szews: We do not have our costs locked in. We do negotiate pretty favorable pricing across our commodities and we're in a good position. Certainly, we have seen some increases in commodity costs here. We don't think those are going to be sustained over the course of our fiscal year. Why? Because there's still a lot of open capacity at the mills. And we just think that we're caught in a shorter period year where some people are rebuilding their inventories. And so I don't think you're going to see a year of rapid commodity escalation. But we are watching it, obviously. We're not going to get let our backlog get long and it's like we're caught in 2004 and 2008.
Operator: Our next question is coming from the line of Jamie Cook with Credit Suisse.
Jamie Cook - Crédit Suisse AG: The order and backlog growth in the Aerial Work Platform business was certainly encouraging. Can you, I mean, I know you say North America up a healthy amount or whatever you want to call it. What are the rental companies telling you about spending within Aerial work Platforms? Or could you sort of give a number on what you think the percentage increase would be? And then the other question is on the Defense business. You talked about FMTV getting more orders than you originally thought and deliveries into 2012 and '13 and that you have greater visibility. Is there anyway you could give us, for 2012, 2013, a base number of this Defense business that we could expect terms of sales because I think that's a big headwind on your business that people think that's going away. So what type of visibility in sales do you have into, at least, 2012 on Defense?
Charles Szews: FMTV orders, what can I tell you there? We're...
Jamie Cook - Crédit Suisse AG: Or total Defense because FHTV should be coming down, FMTV is ramping up. Do you have a comfort level with the base revenue number in 2012 because that would really help investors?
Charles Szews: I don't have a number for you right now and I have to be cautious because we're operating under a continuing resolution. I don't know what funding is going to occur here. We don't have a fiscal '12 budget out yet that should people can see in a short period of time. I can tell you this, we are going to be building FMTVs full out. The contract permits up to 9,900 trucks and trailers per year in terms of production. And the first couple order years looks like they're maxing out those kind of numbers. So that's what we say. We're going to be doubling our FMTV production compared to what we saw in the original RFP. So I think our top line is going to look pretty healthy. Obviously, we have to get the margins up on that contract and that's going to be certainly an important effort. FHTV volume, we would expect it to come down next year, although we certainly expect to start the year with some pretty good volume yet in FHTV.
Jamie Cook - Crédit Suisse AG: But is there anyway you can get comfortable? I mean, it's $2.5 billion or $3 billion a sustainable Defense business for you over the long term?
Charles Szews: You know, certainly, we've targeted those ranges or higher.
Jamie Cook - Crédit Suisse AG: And then on the Aerial business, I mean, you must have pretty good visibility given the conversations you're having with the rental companies?
Charles Szews: Sure. They, really all the national rental companies that we can see are, substantially increasing their purchases of aerial work platforms in calendar 2011. They've all begun to advance order, and order rates in January continue to be quite good. To date, we still hear mostly that they're increasing their purchases because they've deflated. Their fleets are getting older, and they need to increase their spending for replacement demand. We haven't heard a lot yet about increasing the size of their fleets or growth kind of capital. So hopefully, that will be a 2012 phenomenon. But right now, we're looking at higher volumes in fiscal '11 because of higher replacement demand. In Asia, Latin America, Australia demand is very good. There was a question earlier about impact on commodities and certainly that is driving more activity in mining across the world and our product gets used quite a bit in those applications, so that's a positive for the emerging markets. Europe, on the other hand, is in the slower recovery. There may be nine to 12 months or more behind the U.S.
Operator: Our next question is coming from the line of Ann Duignan with JPMorgan.
Ann Duignan - JP Morgan Chase & Co: Can you talk a little bit about input costs again? I hate to beat the dead horse here, but if input costs do remain at current levels or go higher from here, what does that do to your FMTV program? I mean, we talk a lot about you will be profitable on that program, when you are at full production levels, but is there any risk that the numbers you used in your forecast for input costs are now much higher and it will take longer to be profitable in that business? Or is a cost-plus program with the government?
Charles Szews: No, it's a firm-fixed pricing on the FMTV program. Certainly, steel could be a factor, but we do have firm-fixed quotes out for the vast majority of the costs of the truck so we feel we're pretty well protected. From a cost input standpoint, it would hurt us around the margins particularly with smaller suppliers if they get caught, that could be an issue. But we don't see that as that significant an issue. Certainly when we priced this program, we assumed that there would be price escalation in a recovery.
Ann Duignan - JP Morgan Chase & Co: So you're saying you got firm-fixed prices for your steel manufacturers even though the volume has just, maybe, doubled?
Charles Szews: We don't have firm-fixed pricing from for steel per se. What we do have is escalation that we assume repricing of the contract over the life of the contract. And we saw a recovery, and we saw what could happen in that recovery. Plus a lot of the components that we procured have steel in them but we do have firm-fixed pricing from suppliers on those components.
Ann Duignan - JP Morgan Chase & Co: And then can you talk a little bit about the business in Europe, the Aerial Work platforms, et cetera. Why has it taken so long to restructure Europe? I think about Europe peaking a year and a half ago and now we're restructuring?
Charles Szews: Well, we did earlier. So it's not like just we're waiting until now. As you understand, the cost structure to restructure European facilities is very expensive. And the paybacks take quite a long period of time. So really, we were facing two things. One is that we didn't want to go too deep initially if there was going to be more of a V-curve to the recovery. I think we're beyond believing there's going to be a V-curve to recovery in Europe, or it's not as quick as we thought. But secondly and probably even more importantly, we've really built up our global manufacturing operations team and we believe we can do a lot more with less. And that's really part and parcel under all the optimization that you've seen us announce in the recent months is that most of those business that we felt we had already taken out the capacity that was necessary or proper. But we're finding more opportunities because we're just getting better.
Ann Duignan - JP Morgan Chase & Co: One final quick question on the competition internationally on the Fire & Emergency business, can you just give us a little bit more color on that? Where and what and is there a risk that there's going to be more pricing pressure in the United States next cycle?
Charles Szews: We face pricing pressure probably everywhere. I can't say that any one market is different. Certainly international orders, we can face stiff pricing competition. We can certainly face it here domestically. The markets' down 25% or 30%, people are clawing for orders. We've had a few small fire truck companies, manufactures go under not really that much. So everyone is clawing for what's left. So we've been able to retain our market share in North America and retain pretty good pricing and margins on that business. And we don't really see it getting a lot worse. We do think that we're kind of at a plateau here. We've been at this sort of order rate now for, I believe, five quarters. So it seems to have stabilized.
Ann Duignan - JP Morgan Chase & Co: So no one, I mean, you did call it up in your presentation, more competitive in international pricing. But you're saying that's just normal course of business, no one new competitor out there or anything like that?
Charles Szews: No. I think it's just the state of the global economy and where we are. Certainly, some of it has to do with we're going into new geographies. We sold into multiple new countries than we've ever been before and sometimes to break-in, you have to do what it takes to get the order. But nothing, no new trend.
Operator: Our next question is coming from Charlie Brady with BMO Capital Markets.
Charles Brady - BMO Capital Markets U.S.: With respect to the Defense business on FMTV, now that the production has been accelerated, quicker -- going faster than you thought was going to be, does that help you in terms of margin on that in terms of margin ramp up on that program? And then as a follow-up to that, can you give us some idea of what the start-up issues were with that program? And are they currently resolved? And then finally on that, you talked about you expect them to order many more than the initial 23,000 and I guess other than the fact that they're ordering more sooner, what makes you think they'll order above the initial quantity of 23,000?
Charles Szews: Lots of questions there. In terms of the margin of the program, I'd say the volume impact is mixed. What do I mean by that? Rather than spending a lot of time today in cost reduction, we're spending a lot of time thinking about ramping up production to double the levels they were. And instead of a x-months of start-up costs to contend with, we're dealing with x plus x number of months of startup costs to ramp up. So there's the negative side to that. On the other hand, when you're looking at much, much higher volumes, there is an opportunity and we've exercised that opportunity to work with our supply base and mutually together look at what is possible in terms of our cost structure with our supply base. And we think that, that opportunity is extremely good, given the kind of volumes that we're looking at today. So what this could do is keep us a little bit lower profitability early on, but I think there's opportunity for margins in the longer-term or perhaps better with all this additional volume. We talked about issues. Well, I mean, there are issues, multiple issues, I suppose, in the start-up. One is that we're training people, new hires and performing new activities. We are doing certain things that really haven't been done before and that is e-coding armored components at high volume. It's really something that hadn't been done before. So some of these things cause us some difficulties. We are working through them. I can't say that they're all resolved because they're not. I can tell you this is that we meet twice a day as a management team, running through issues and we will get the production ramp right. I mean, we just have too many of the right people involved in it. How many more? Good question. 18,000 trucks and trailers have been ordered to date. 23,000 was in the original RFP. Our planning is basically to double what we had originally expected in the RFP, and that's through 2013 or so. After that, I really can't tell you. That's subject to future funding and the budgets.
Operator: Our next question is coming from Peter Skibitski with SunTrust Robinson Humphrey.
Peter Skibitski - SunTrust Robinson Humphrey Capital Markets: I just want to get some clarity on the operating loss at Access. Was that all lack of overhead coverage with the less MRAP volume going through or pricing? And what's your expectations for full-year margin rate at Access?
David Sagehorn: Pete, I think you're spot on in terms of the volume impact of lower M-ATV business there at JLG and at Access that did absorb a fair amount of overhead in the past for us. So that's now coming back under the base business. But also, we saw volume declines, let's call it, sequentially from Q4 and those really also helped to drive the loss for the quarter that we saw. As we said in our prepared remarks, the fourth calendar quarter, or our first fiscal quarter, is seasonally the most challenging quarter for that business as well as some of our other businesses. In regards to our view for the year, we did talk about low-single-digit margins for the segment for the year and that does include the restructuring costs that we expect for the full year, as well as the restructuring charges of $11.3 million that we recorded in the first fiscal quarter.
Peter Skibitski - SunTrust Robinson Humphrey Capital Markets: And then on Defense, did you have any contact close-out gains on M-ATV during the first -- in this quarter?
David Sagehorn: No. We completed the initial orders of the initial delivery of the 8,079 and it was just kind of a typical run-off.
Operator: Our next question is coming from Josephine Millward with The Benchmark Company.
Josephine Millward - The Benchmark Company, LLC: You said your outlook for FMTV in the next three years, you expect that to double the 23,000 units in the original RFP?
Charles Szews: Yes. We are wondering if I confused anyone.
Josephine Millward - The Benchmark Company, LLC: Can you expand on that? Are you expecting the Army to increase their acquisition objectives for the FMTV? How is that going to happen?
Charles Szews: The evaluated quantity in the RFP was 23,000 trucks and trailers. They're actually able to purchase much more than that quantity, all right, in the base contract. What I was trying to say is that the evaluated quantity under the FMTV RFP, request for proposal, we expect to double that production rate through fiscal 2013. I'm not trying to say that we're going to sell 46,000 trucks and trailers, but rather that whatever the production rate was in the first basically two and a half, three years, we do expect to double that production rate.
Josephine Millward - The Benchmark Company, LLC: And the production rate you're referring to is the 9,000 trucks and trailers per year, right?
Charles Szews: No. Actually the production -- in the proposal, it varied a little bit. It was, I think, it was 4,600 the first year and then 3,300, 3,600 the next two years, all right? So over that time period, we're going to about double.
Josephine Millward - The Benchmark Company, LLC: Also another follow-up on Defense, you're taking up your outlook for the year, what's driving that? Is it the FMTV? And you also talked about headwinds from the CR, what if the government runs on the CR for the remainder of the fiscal year? How would that impact your updated outlook for Defense?
Charles Szews: Well, certainly we announced some additional M-ATV orders in the quarter and I think that contributed quite a bit to the increase between the 250 MRAVs and the 46 Special Forces Vehicles, the 800 production kits, all of that went into our higher view. Now, the continuing resolution could create issues for us, certainly. We always enter the year with some sales estimate like we gave you here today that is isn't under contract. And should the continuing impasse on the fiscal 2011 budget extend too long, that our customer doesn't either have the funds available to fund their contract or sits indecisively for too long so they close beyond their lead times, we could have a situation where some of our heavy tactical vehicle sales that we expect from the second half of the year could slip into fiscal year '12.
Josephine Millward - The Benchmark Company, LLC: Can you give us an update on the heavies? Can you still expect procurement funding for the heavies in fiscal year '12 and an update on the recompete?
Charles Szews: We would expect some funding in fiscal year '12 for the heavies. The number, I can't comment on, but there should be a budget proposal here coming out in the next couple of weeks. In terms of the recompete, honestly, the customer is still studying the situation. We don't have a decision from them in terms of what they are going to do and when. Certainly, I think, their overall objective is to compete anything they can but their current plan is still under development, I believe.
Operator: Our next question is coming from David Raso with ISI Group.
David Raso - ISI Group Inc.: On the Defense margins for this quarter, obviously, parts have high margins generally. But given the strength of those margins, was there anything unique to the parts that went out this quarter? And if not, do you expect this kind of part margin over the next couple of quarters?
David Sagehorn: David, we did have a very high percentage of the parts that went out this quarter were M-ATV-related and when we look at the mix, going forward, on parts and service, we don't believe it will be as heavy M-ATV. And then within M-ATV, certain items carry different margins than other parts and components. And we believe the mix, as we move into subsequent quarters, will not be quite as favorable as it was in the first quarter.
David Raso - ISI Group Inc.: And one thing maybe I missed it, I apologize. FMTV-related revenues in the quarter?
David Sagehorn: They were relatively small. They weren't a big component of the overall segment sales for the quarter.
David Raso - ISI Group Inc.: And on the Access business, x any Defense-related sales, given the order growth rate we've seen out this quarter year-over-year, how should we think about the revenue progression over the next couple of quarters on a growth rate, again x Defense?
David Sagehorn: I think we were up in the first quarter, x Defense, a little more than 30%. I think as we look at least in the upcoming quarter, we'll be up a larger percentage than that. And in subsequent quarters, will depend largely on what we see for order flow in the second and third quarter.
David Raso - ISI Group Inc.: I'll guess asked a different way, the orders that you have on hand in Access, what percent are shipping the next six months? I mean, typically with the spring shipping season should be a pretty high percentage for the rental houses, but any clarification would be great.
David Sagehorn: Overall, I don't have the information right in front of me. But I would anticipate a large percentage of the backlog that we had at the end of December to be shipped over the next two quarters.
Operator: Our next question is coming from Walt Liptak with Barrington Research.
Walter Liptak - Barrington Research Associates, Inc.: Just as a follow-on to the last one, I wonder if I could ask this sort of the same question. But does the backlog that you have ship next quarter in Access?
Charles Szews: Not all of it.
David Sagehorn: Not all of it. I mean, it's spread out for subsequent quarters and obviously, we'll work some of the orders that we received in the second quarter, will ship in the second quarter.
Charles Szews: Some of the orders are Military, so those do extend out over a period of time. But of the Commercial orders, a big percentage would be in the second quarter. As Dave said, we do expect the growth rate to be higher in the second fiscal quarter and of course, third and fourth quarters more subject to whatever order intake we have in the next quarter.
David Sagehorn: From a seasonal standpoint, Walt, as we get into our second fiscal quarter, we typically see an increase over the first quarter and the third quarter is also usually quite strong, seasonally.
Walter Liptak - Barrington Research Associates, Inc.: And the margin in the second quarter, are you going to be at your, I guess, your annual target of low-single digits in the second quarter?
David Sagehorn: We believe we'll be profitable in this segment in the second quarter.
Operator: Our next question is coming from Robert McCarthy with Robert W. Baird.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Just a couple of details. Can you characterize within the order growth that you saw in Access in the first quarter? Or talk prospectively about the market in terms of products? I mean, is all the strength coming in boom product or are you also seeing some kind of a commensurate pick-up in telehandlers as well?
Charles Szews: Yes. We're seeing strength really across the product line, Rob.
Robert McCarthy - Robert W. Baird & Co. Incorporated: And there's some mention in the release of headcount reductions in the Commercial segment to come, but nothing on charges. So I guess already fully reserved for?
Charles Szews: Yes. Well, there's a small cost in the second fiscal quarter, but it's not going to be significant.
Operator: Our next question is coming from Paul Bodnar with Longbow Research.
Paul Bodnar - Longbow Research LLC: Back over to the Defense side, I mean, if we kind of just think about the make-up of revenues in the quarter, I mean, it looks like, obviously, you tell us what the M-ATV side is and you bring that and FMTV together probably around $600 million or so. Can you talk about kind of just the breakdown of the rest of it? And what portion maybe the heavies of that is? And maybe also what portion that's just coming through your refurb facility there? If I'm just trying to break down the remainder of revenues you really haven't attributed in the quarter in Defense, and particularly, what portion of those maybe go to the heavy side? And also maybe what portion is coming through that refurb facility you have there, and just in vehicle refurbishments?
David Sagehorn: As we mentioned, about half of the revenues in the quarter were M-ATV-related. FMTV was a minor amount. The remainder would largely be our Heavy business and what I'll call our run rate aftermarket business for non-M-ATV programs.
Paul Bodnar - Longbow Research LLC: Any idea you can give us on what the size that non-M-ATV aftermarket run rate is?
Charles Szews: We don't go into that level of detail on our parts sales.
David Sagehorn: Paul, remember the M-ATV spares and aftermarket were very heavy in the first two quarters. We've talked about that and everybody should be aware that after Q2 that, that kind of comes down.
Charles Szews: Traditionally, Paul, we talked about the Defense aftermarket being, call it, probably at 15% to 20% of total segment sales in that range. So if you look at that, that's probably a decent benchmark x M-ATV parts and service.
Paul Bodnar - Longbow Research LLC: What sort of the -- I mean, you said you're 2x the FMTV sales are potentially there. What kind of revenue would be associated with doing that level?
Charles Szews: It could be over a couple of year period, between $1 billion and $2 billion.
Operator: Our next question is coming from the line of Andrew Obin with Merrill Lynch.
Andrew Obin - BofA Merrill Lynch: Just a little more clarification on charges. The charges that you cited, were they on pretax or after-tax basis when you cited dollar amounts?
David Sagehorn: That was on a pretax basis.
Andrew Obin - BofA Merrill Lynch: So how do we, given the list of charges that you have, we have $11.3 million charged for Access Equipment, right? And then we have Fire & Emergency, so that's another $0.7 million, that $12 million, right?
David Sagehorn: Correct.
Andrew Obin - BofA Merrill Lynch: But then we have the Access Equipment, $7 million gain on pretax, right?
David Sagehorn: No. We had some improvement from credit loss reserves in Access in the quarter, but we did not have a restructuring...
Andrew Obin - BofA Merrill Lynch: But we were not netting out the improvement against that, right?
David Sagehorn: No. Correct.
Andrew Obin - BofA Merrill Lynch: So what's the after-tax impact?
David Sagehorn: It was $0.13 a share in the quarter from the restructuring actions.
Andrew Obin - BofA Merrill Lynch: Well, the only problem I have if I take pretax, $12 million pretax and tax effect then I get something like $0.08...
David Sagehorn: A lot of the restructuring charges in the Access segment were in Europe and because of where we are from a loss situation there, we were not able to tax benefit those.
Andrew Obin - BofA Merrill Lynch: And the other thing, could you comment in the quarter on your Commercial businesses, what was the net impact of pricing and raw material costs because several companies have reported sort of negative drag so far from that. What's your experience just broadly, I'm wondering if you can comment on the exact number.
Charles Szews: We didn't see any negative drag, I mean, the commodity cost increases that we've been seeing really are just starting to hit our company, I suppose. There's usually a three to four or five month lag before they hit the P&L once we start paying them because it kind of goes flushed through our inventory system. So we really didn't see a drag in the first quarter.
Andrew Obin - BofA Merrill Lynch: And then the final question if I may, regarding the profitability on the fire engine, the drop-off in profit was pretty severe given the drop-off in revenue. What specifically happened in the quarter? And just how do we know that that's not the run rate for profitability for the rest of the year?
Charles Szews: We had a number of things that were at play in this segment in the quarter. When you look at the sales, they were down 10.5%. The sales decline that we saw was largely concentrated at Pierce and their sales were actually down a larger percent than the segment as a whole. But obviously you had the lower volume and the absorption impact on that. I think as a result of the lower sales at Pierce, you had a different weighting amongst the various businesses in that segment, and some of those businesses have a lower margin profile than Pierce. So what I'll call segment, intersegment mix was a negative impact as well as some of the mix we saw in the individual segments contributed to that. We also had a large international order in our Airport Products Group, which is part of that segment that partially shipped in the quarter. And that the margins on that were a little less than we would traditionally see. And then the restructuring costs that we talked about in the quarter also played in. So we had a number of things that contributed to that. Our view is that we will see improved performance in that segment starting in the second quarter and continuing throughout the year. We, by no means, consider this to be a 1% margin business.
Operator: Our next question is coming from the line of Ben Elias with Sterne Agee.
Ben Elias - Sterne Agee & Leach Inc.: Sorry to keep going back to Defense, but I just want to understand this correctly. When I look at the seeded deliveries in the orders that you have for 2011, and they're not counting all the legacy stuff, you listed here about $2.1 billion and for 2012, your deliveries looks about $2.3 billion, $2.4 billion. When you talk about accelerating some of the production on the FMTV, are you building and holding? Are you pulling forward? I mean, you talked about accelerating production, but you've also talked about some of the budget stuff getting delayed and some of these new orders getting pushed out. How do we sort of balance some of your stated contracts, so stated deliveries in '11 and '12 and also the sort of juggling that you're doing?
Charles Szews: Let me just comment a little bit on the FMTV contract and then I'll pass it over to Dave. Certainly, the Army saw very attractive price that we offered them. And as a result, they're looking at their feet and the Army reserves and National Guard fleets are extremely old. And so I think what you're seeing is some additional orders here to refresh that old fleet, that's a part of it. The other piece is that if you look at the family of the medium-tactical vehicle fleet installed base, a huge percentage of that is not armor capable. And by 2018, the Army would like, at least, 50% of the fleet to be armor capable. So those are sort of increasing demands for the overall FMTV fleet, generally. So I don't view bigger orders rates in the next two years as necessarily a pull forward from -- that's going to show a tremendous downturn right after that because we do think that there are some significant requirements for the next several years for the FMTV.
David Sagehorn: Just a little clarification on your comment on the backlog. We had approximately $5.4 billion of backlog at the end of December in the Defense segment. Of that, approximately $2.8 billion, $2.9 billion related to fiscal 2011 and the remainder approximately $2.5 billion related to fiscal 2012 and a little bit into our fiscal 2013.
Ben Elias - Sterne Agee & Leach Inc.: So we really shouldn't be focusing on the delivery dates and some of those announced? Because it certainly adds up to a lot more than $2.5 billion for next year.
Charles Szews: I'm not sure specifically which contract you're referring to, but again, as we look at the backlog, what we had at the end of December, the numbers I gave you are what we are seeing.
David Sagehorn: Ben, $2.4 billion, I believe, is the FMTV portion in the backlog, right? And when you see the TACOM announcements, they will have federal retail excise tax in them so they can be greater than the actual amount that we have on contract.
Operator: Our next question is coming from the line of Steve Volkmann with Jefferies & Company.
Unidentified Analyst: This is actually Chris on for Steve this morning. I guess, The first one has to do with Commercial, do you guys think you're going to be profitable there in the second quarter?
Charles Szews: Yes, I think as we look ahead, we should see larger RCV deliveries. I think we'll be breakeven or a little above in the quarter.
Unidentified Analyst: And then shifting back a little bit to Defense, although maybe just a bigger picture question here. Do you guys have a view on the potential for more M-ATV orders or MRAP orders and what you think the mix might be? I think there's probably some more potential for MRAP orders, going forward, lower levels kind of like you've seen we've the ambulance. But where do think that program goes from here and how much of that do you think is M-ATV versus original MRAP?
Charles Szews: I'm biased, obviously, to think that the M-ATV is the vehicle of choice. But going forward, we do think that there are continuing opportunities for upgrade kits, protection kits like you saw orders for. We do think there continue to be opportunities for new variants as the Department of Defense understands the true capabilities of this vehicles, it's being looked at much like the Humvee was, years ago where everyone would put their different system on a Humvee. And since the JLTV won't be around for a while, I think we do see the M-ATV as the near-term fitting, filling the bill until JLTV is around. So I think there are opportunities for new variants, new upgrade kits, perhaps some additional vehicles for battle damage, but like you said, they're going to be lower volumes and sporadic and so we can't really give you a lot of visibility into what that could look like. Hopefully by 2012, we'll see some orders for some M-ATVs to sell internationally. And we have done trials in some countries and so we'll see how those trials develop. Well, thank you very much. We appreciate all the questions and participation in today's call. Just a few closing comments. I'd like to reinforce our commitment to serve and delight our customers and our shareholders. We're optimizing our operations and investing in our people, our infrastructure and innovative product development so that we remain the market leaders with our current customers and attract new customers. We view fiscal 2011 as the beginning of a journey that we expect will yield positive results as we seek to grow and deliver shareholder value. We are mission-driven to succeed. Thanks for your time and your interest today.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.